Operator: Good day, and thank you for standing by. Welcome to the Taseko Mines' Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Brian Bergot, Vice President of Investor Relations. Please go ahead.
Brian Bergot: Thank you, Liz. Welcome everyone and thank you for joining Taseko's third quarter 2024 conference call. The news release and regulatory filing announcing our financial and operational results was issued yesterday after market close and is available on our website at tasekomines.com and on SEDAR Plus. I am joined today in Vancouver by Taseko's President and CEO, Stuart McDonald, Taseko's Chief Financial Officer, Bryce Hamming, and our COO, Richard Tremblay. As usual, before we get into opening remarks by management, I would like to remind our listeners that our comments and answers to your questions will contain forward-looking information. This information by its nature is subject to risks and uncertainties. As such, actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, I encourage you to read the cautionary note that accompanies our third quarter MD&A and the related news release as well as the risk factors particular to our company. These documents can be found on our website and also on SEDAR Plus. I would also like to point out that we will use various non-GAAP measures during the call. You can find explanations and reconciliations regarding these measures in the related news release. Finally, all dollar amounts we will discuss today are in Canadian dollars unless otherwise specified. Following opening remarks, we will open the phone lines to analysts and investors for questions. I would now like to turn the call over to Stuart for his remarks.
Stuart McDonald: Thank you, Brian, and good morning, everyone. I'm glad you're able to join us today for our review of Taseko's third quarter operational and financial results. I'll start with our 100% owned Gibraltar mine, which had a solid operating performance during the period despite the first few weeks of the quarter being impacted by the planned downtime for major mill repairs in one of our two concentrators. This maintenance work and the impact crusher move were disrupted by the labor strike in June. But in the third week of July, we were able to restart concentrator number one and ramp up to full capacity. Third quarter copper production was 27 million pounds on a head grade of 0.23% copper. Although mill availability was below plan for the quarter, we were still able to process 7.6 million tons of ore, which is a good result considering the disruptions. Copper recoveries notched a little higher than the previous quarter at 79% but are still lower than normal due to oxidized ore in the upper benches of the new Connect pit. When they are running, the mills have been able to consistently run above the design capacity of 85,000 tons a day, which demonstrates the throughput upside we had spoken about previously, and we expect that higher throughput to drive higher copper production in Q4. However, the lower mill availability in the third quarter means we no longer expect to make up the production that was lost during the labor strike in June. So we are now forecasting current year production to be between 105 million and 110 million pounds compared to our original guidance of 115 million. One significant change this quarter was molybdenum production, which increased to more than 400,000 pounds in Q3. That's more than we've produced in any quarter since 2021.
Richard Tremblay: And it's being driven by higher moly grades in the new connector pit.
Stuart McDonald: We expect that to continue going forward, and we should be able to get back to producing 2 million pounds per year or more of moly.
Richard Tremblay: At today's price of $21 or $22 a pound,
Stuart McDonald: that will represent a pretty significant improvement to our cost structure going forward. Total site cost of $111 million in the third quarter was similar to previous quarters, except Q2, which was lower due to the mine being shut down for the labor disruption. Our C1 cash cost of $2.92 US per pound was impacted by a lower allocation of capitalized stripping costs and lower production volumes or life of mine average. Partially offsetting these higher unit costs was lower off-property costs as we made our initial shipments under the new offtake agreements, which have negative TCRCs. We expect off-property costs to continue to decline as some of our older offtake agreements at higher TCs unwind. In fact, next year, we are expecting TCRCs to be close to zero compared to about 17 cents a pound last year in 2023. Taseko's realized copper price in the third quarter remained a healthy $4.23 per pound, and that helped to drive solid financial results in the quarter. We generated $48 million of adjusted EBITDA, $55 million of earnings from mining operations, and $65 million of operating cash flow. Looking ahead to 2025, we're expecting slightly higher copper grades for the year, higher mill throughput, and also the restart of Gibraltar's SX-EW plant, which has been idle since 2000. Copper production is expected to be in the range of 120 to 130 million pounds from Gibraltar.
Richard Tremblay: And moly grades and production will also be higher.
Stuart McDonald: So we're looking at a strong production year, which is a real positive. But I do want to caution that we expect production to be weighted to the second half of the year as mill feed in the first half will include some lower-grade stockpiled ore. We're very pleased with the progress. The SX-EW plant is really starting to take shape. We're nearing the end of the bulk concrete pouring for the foundations, and pre-assembly and installation of structural steel is well underway.
Richard Tremblay: In September, we began installation of process equipment,
Stuart McDonald: and as of last week, almost all of the settling tanks have been installed. Installation of piping for this new equipment has now started. On the well field, we've completed 40 out of the 90 wells that are planned for construction phase, and that's in line with our schedule. With four drill rigs now operating, we should see the well completion rates accelerate going forward. Also, from a safety and environmental perspective, I'm pleased to report that we've not had any lost time injuries or reportable environmental incidents so far on the project. Year to date, we've spent $97 million US on construction capital. As we've previously disclosed, we expect total cost to come in within 10 to 15% of the $232 million estimate. That's the estimate that we published with our technical report in March 2023 based on costing from 2022. Overall, I'm pleased with how the first nine months of construction have progressed. Our recruiting and other plans for operational readiness are also progressing well, and we remain on schedule for first copper in late 2025. It should begin a very exciting year for us ahead. We haven't spoken a lot about Yellowhead recently, but we are preparing to submit the initial project description and enter into the provincial and federal environmental assessment process. We have a few years of permitting work ahead of us, but this remains a very good project in a top-tier jurisdiction. As a reminder, the Yellowhead technical report from 2020 outlined a project with annual copper production of 180 million pounds over a 25-year mine life. With significant gold and silver byproduct credits, that generate a cash cost of $1.67 per pound of copper. That study now is almost five years old and used a long-term copper price assumption of only $3.10 per pound. So it's due for an update, and next year we're planning to update it with current metal prices and costs. We'll also be incorporating the recently announced Canadian tax credits for copper mine development, which has the potential to significantly improve that project's economics as well. Even though it's still a few years away from being construction-ready, there's value there to be unlocked. I'll pass the call to Bryce in a minute to talk about the specifics of our financials, but I do want to emphasize that our balance sheet remains in a strong position. With a cash balance of over CAD 200 million at the end of Q3, and an undrawn
Richard Tremblay: credit facility. Our stock price is up about 80% year to date.
Stuart McDonald: And over the last four months, we utilized our at-the-market equity offering for the first time, issuing a total of 12.1 million shares for net proceeds of CAD 37.3 million. The strike at Gibraltar over the summer was unexpected and had an impact on our projected cash flows.
Richard Tremblay: We also expect increased spending on Yellowhead over the next year
Stuart McDonald: and we'll be advancing some growth initiatives at Gibraltar, including the restart of the SX-EW plant and studies on sulfide leaching. So the extra cash from the ATM will allow us to move forward on these. With that, I'll turn it over to Bryce.
Bryce Hamming: Thanks, Stuart. It was a fairly straightforward quarter, but I'll provide some additional accounting and financial details. We posted GAAP earnings of nil per share, but on an adjusted basis, we had net income of $0.03 per share or $8.2 million. A couple of key notable items to mention. First off, $4 million of costs were incurred to complete the primary crusher relocation project, including the demolition of the old
Richard Tremblay: station.
Bryce Hamming: And under IFRS, these costs are expensed. The physical move of the crusher was done in the second quarter, and final tie-ins and that demolition were completed this quarter.
Richard Tremblay: We also had $13 million in non-cash accretion on our Caribou
Bryce Hamming: earn-out liability and for Florence royalty obligations. That accretion rises due to the rising copper price trend and also the more positive outlook for copper prices in the years ahead based on bank consensus forecasts. We also had $3 million in marked-to-market adjustments on our derivative adjustment on the Mitsui stream. So we consider these items unrealized and one-off and not reflecting the underlying operational performance. So they are adjusted in determining the company's adjusted earnings. So financial performance in the quarter was strong. We had adjusted EBITDA of $48 million and earnings from mine operations, before depletion and amortization, of $55 million, and that was just on sales volumes of 26 million pounds. Our realized copper price for the quarter was $4.23, in line with the average for the LME for the quarter, and it was down a bit from last quarter. Copper prices peaked at just over $5 in May. Total site spending at Gibraltar was $111 million in the third quarter, and that's really in line with previous quarters before the strike in Q2.
Richard Tremblay: Capitalized stripping in the third quarter was modest at only $3.6 million, down from $10.7 million in Q2, as ore is now being fed from the connector pit into the mills. Unit costs in the third quarter were $2.92 US per pound, slightly lower than the previous quarter, mainly due to an increase in copper production but also a decrease in off-property costs due to our first shipments under our new offtake agreements at the negative TCRCs that Stuart just mentioned. TCRCs, generally speaking, make up about one-half of our off-property costs, and we expect to pay no net overall TCRCs in 2025. So that's a major savings to our operating costs going forward. Cash flow from operations in the third quarter was $65 million. We benefited from both stable operating margins and also $26 million in funds associated with the insurance recovery, which was taken to earnings in the second quarter and was received this quarter. Cash flow from financing activities included that amount, and it also included $23 million from the issuance of 7.8 million shares under the ATM program. At Florence, we're now getting into peak construction spending quarters. In the third quarter, we spent $42 million on the commercial production facility, an increase of $6 million over the second quarter. To the end of the third quarter, we've now spent a total of $97 million US. Looking ahead to our heavy construction period, we will spend about $20 million US a month for the next two quarters before spending tails off. Just to expand upon Stuart's comments on liquidity, our cash position at the end of the third quarter was $209 million. Subsequent to the quarter end, we also amended our revolving credit facility with National Bank and ING, extending the maturity, which was set to mature in mid-2026, out to the end of 2027. We also increased it by $30 million US so that its overall size is now $110 million US. That facility today is completely undrawn. So we have pro forma liquidity of approximately $360 million Canadian with this higher facility size. The other significant initiative we announced with the Florence Construction update we provided a few weeks ago was our submission to the US Department of Energy's Qualified Advanced Energy Project Credit Program. That's under 48C sub RFE. As a critical materials project producing domestic US copper, we believe Florence Copper is a prime candidate for this program. The tax credit we have applied for
Stuart McDonald: is for up to $110 million US and is expected to be awarded in just
Bryce Hamming: a couple of months from now in mid-January. Even if only a partial award is granted, this could be an additional source of funding for us later next year into 2026. With that, I'll turn it back to you, operator, and open it up for questions. Thank you.
Operator: As a reminder, if you'd like to ask a question, please press star one one on your telephone. To withdraw your question, please press star one one again. Our first question comes from Alex Bedwany with Canaccord Genuity.
Alex Bedwany: Hi, all. Thanks for taking my question. Just a couple from me today. So the first one is I'm just trying to get a sense of what the throughput is going to look like in Q4. So what was the exit rate in Q3 for September, for example? And then the second thing is just related to the oxidization of the ore in the upper benches of the connector. Is that going to continue through to Q1, or do you see that sort of subsiding?
Stuart McDonald: Yeah, I mean, I'll start. In terms of
Bryce Hamming: mill throughput, what we've seen in the last couple of months here, we've been running over design capacity, as I mentioned, in the range of 88-89,000 tons a day.
Stuart McDonald: There is upside potential on that. We'll see how it goes, but those are opportunities that we're always thinking about.
Alex Bedwany: Yeah. And sorry, what's the other ask?
Richard Tremblay: On the transitional ore, as we continue to mine deeper, we'll continue to see improved or reduced oxidation of the ore that we're mining, and we'll continue to see performance improve as we progress through the fourth quarter and into next year.
Alex Bedwany: Okay. And what's the reason for running over design capacity? Is it just the softness of the ore at the connector at the moment?
Richard Tremblay: Yeah. Sorry. I didn't get the question. The question was why are we able to run over design capacity? And it does go to the softness of the ore in the connector, exactly. What we're seeing is that ore is similar to what we had in
Stuart McDonald: Yes. So I'm gonna That's right.
Alex Bedwany: Okay. I appreciate that.
Operator: Our next question comes from the line of Nicholas Clark with TD Cowen.
Nicholas Clark: Thanks, operator. Hi, Stuart. Nick Clark here on for Craig Hutchison. Just a quick question, if I could, on Florence. I understand that the budget's still tracking within that 10 to 15% estimate of the $232 million. Just wondering if you could ballpark a figure for us on what percentage of that overall expected budget has been committed at this point.
Stuart McDonald: Commitment ballpark, I mean, we're up in the range of 75% committed at this point.
Nicholas Clark: Great. Okay.
Stuart McDonald: Thank you. That's helpful. And then just one more on one of your growth projects. I know we don't talk about it too much, but that new prosperity you guys mentioned in your release. You are hoping to get a first nation's agreement at that project by the end of this year. If that is
Richard Tremblay: successful, what will be the next steps for that project going forward?
Stuart McDonald: Yeah, I mean, it obviously is heavily dependent on the negotiations that we're in now, which are confidential. I know we've signaled that we're still aiming to or hopeful we'll have a deal by the end of the year. Obviously,
Richard Tremblay: here in BC, we've had a provincial election in October, which has kind of disrupted that
Stuart McDonald: schedule a month or two. But we're still hopeful we'll get a deal of some kind and, yeah, be able to in the longer term, I think, remain optimistic that at some point we'll be able to move that forward. But there's no clear schedule or no clear plans at this point.
Richard Tremblay: It's like I would describe it as a longer-dated
Stuart McDonald: option for shareholders.
Nicholas Clark: Great. Okay. Thanks, Stuart. Appreciate the color. And good luck, guys, in Q4.
Stuart McDonald: Thanks.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Taseko management for closing remarks.
Stuart McDonald: Okay. Thank you very much, everyone, for joining, and if you have any other questions, you know where to reach us, and otherwise, we'll talk to you next quarter. Thanks.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.